Operator: Ladies and gentlemen, thank you for standing by. Welcome to The TJX Companies' Fourth Quarter Fiscal 2018 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. As a reminder, this conference is being recorded, February 28, 2018. I would like to turn the conference over to Mr. Ernie Herrman, Chief Executive Officer and President of The TJX Companies, Inc. Please go ahead, sir.
Ernie L. Herrman - The TJX Cos., Inc.: Thanks, Brandon. Before we begin, Deb has some opening comments.
Debra McConnell - The TJX Cos., Inc.: Thank you, Ernie, and good morning. The forward-looking statements we make today about the company's results and plans are subject to risks and uncertainties that could cause the actual results and the implementation of the company's plans to vary materially. These risks are discussed in the company's SEC filings, including, without limitation, the Form 10-K filed March 28, 2017. Further, these comments and the Q&A that follows are copyrighted today by The TJX Companies, Inc. Any recording, retransmission, reproduction or other use of the same for profit or otherwise, without prior consent of TJX, is prohibited and a violation of United States copyright and other laws. Additionally, while we have approved the publishing of a transcript of this call by a third-party, we take no responsibility for inaccuracies that may appear in that transcript. We have detailed the impact of foreign exchange on our consolidated results in our international divisions in today's press release in the Investors section of our website, TJX.com. Reconciliations of the non-GAAP measures we discuss today to GAAP measures are posted on our website, TJX.com in the Investors section. Thank you. And now, I'll turn it back over to Ernie.
Ernie L. Herrman - The TJX Cos., Inc.: Good morning. Joining me and Deb on the call is Scott Goldenberg. Let me begin by saying that I am very pleased with our strong finish to 2017. Consolidated comp store sales in the fourth quarter grew 4%, above our plan and over a 3% increase last year. In addition, each of our four major divisions posted comp growth of 3% or higher in the fourth quarter. We also saw strength in both our apparel and home businesses. Once again, customer traffic was up overall, and it was the primary driver of our comp sales increases at each of our four major divisions. Our great brands, differentiated merchandise mix and excellent values continue to resonate with consumers across all of our geographies. Adjusted earnings per share were also above our expectations. For the full year, net sales increased 8% to over $35 billion. As pleased as we are about achieving this important milestone for our company, we still see plenty of opportunities to continue our global growth. Consolidated comp store sales were up 2% over last year's strong 5% growth. The year 2017 marks the 22nd consecutive year of comp sales growth for TJX. We believe our long track record of consistent growth speaks to the power of our flexible business model, our decades of off-price experience and the collective knowledge across our highly-integrated global organization. We are convinced that we continued to grow our market share again in 2017 in an uncertain retail environment. Comp sales and customer traffic increased at each of our four major divisions. And for the full year, adjusted earnings per share were also above our plan. Looking ahead, 2018 is off to a solid start, and we see a long runway for continued successful growth ahead. We see plentiful opportunities in the marketplace for major brands and high-quality merchandise. In addition, we are pursuing numerous initiatives to keep driving sales and customer traffic. We are confident that we have the right strategies in place to grow TJX for today, and the future, around the globe. Before I continue, I'll turn the call over to Scott to recap our fourth quarter and full year numbers. Scott?
Scott Goldenberg - The TJX Cos., Inc.: Thanks, Ernie, and good morning, everyone. Again, fourth quarter consolidated comp store sales on a 13-week basis grew a strong 4%, which was over a 3% increase last year and above our plan. We are very pleased with our customer traffic increases across our four major divisions. As a reminder, our comp store sales exclude the growth from e-commerce. Fourth quarter diluted earnings per share were $1.37. As we detailed in today's press release, fourth quarter EPS includes a $0.17 net benefit from tax reform, a benefit of approximately $0.11 from the extra week in the fourth quarter and a $0.10 Sierra Trading Post impairment charge. Ernie will talk more about STP in a moment. Excluding these items, adjusted earnings per share were $1.19, above our plan and a 16% increase over last year's $1.03. The combination of foreign currency and transactional foreign exchange benefited EPS growth by 2% and the change in accounting rules for share-based compensation benefited EPS by another 1%. As expected, wage increases negatively impacted EPS growth by about 1%. At the end of the fourth quarter, consolidated inventories on a per-store basis, including inventories held in warehouses, but excluding in-transit and e-commerce inventories, were up 4% on a constant currency basis versus a 4% decrease in the prior year. We begin fiscal 2019 well-positioned to flow fresh spring fashions to our stores. Now, to recap our fourth quarter performance by division, Marmaxx comps increased 3%, over a 3% increase last year and were driven by customer traffic. As we expected, average ticket decreased, but moderated versus the third quarter. Adjusted 13-week segment profit margin, excluding the Sierra Trading Post impairment charge, decreased 10 basis points. We are very pleased with Marmaxx's strong finish to the year. HomeGoods grew 3% over last year's 5% increase. Adjusted 13-week segment profit margin was down 190 basis points. This was primarily due to a decline in merchandise margin, as well as investments to support our growth. For the year, HomeGoods exceeded our plan on the top and bottom line, surpassed $5 billion in sales and delivered strong increases in comp sales and traffic. Further, we opened over 90 stores, including the launch of our new Homesense chain. TJX Canada delivered a terrific quarter, with comps increasing 7% over last year's 4% increase. Adjusted 13-week segment profit margin, excluding foreign currency, was up 90 basis points. This is primarily due to expense leverage on the 7% comp. We are thrilled that all three Canadian chains had outstanding years and I'm convinced that they increased their market share. At TJX International, comps increased 3% in the fourth quarter. Adjusted 13-week segment profit margin, excluding foreign currency, was down 50 basis points. This was primarily due to costs related to the opening of our new distribution center in the UK. We are very pleased that Europe ended 2017 with its strongest quarter of the year, exceeding our top and bottom-line plans for this division. Further, Australia continued its excellent performance. We are convinced that TJX International is gaining market share. Now, to our full-year consolidated fiscal 2018 results. On a 52-week basis, consolidated comp store sales grew 2% over last year's strong 5% increase. Similar to the fourth quarter, overall customer traffic was up and the primary driver of the comp increases at each of our four major divisions. Although still a relatively small part of our business, overall e-commerce sales grew significantly for the full year. Diluted earnings per share were $4.04 versus last years $3.46. Full year EPS includes the same adjustments as the fourth quarter. Excluding these items, adjusted earnings per share were $3.85, above our plan and a 9% increase over last year's $3.53. Additionally, the change in accounting rules for share-based compensation benefited EPS growth by 2%, and the combination in foreign currency and transactional FX benefited EPS growth by another 1%. As we expected, wage increases negatively impacted EPS growth by about 2%. So full-year merchandise margin remained strong on top of a significant increase last year, which underscores the power of our flexible model. I'll finish with our financial strength and shareholder distributions. Our business continues to generate excellent cash flows and strong financial returns. In fiscal 2018, free cash flow was $2 billion. We take a disciplined approach to capital allocation and our ROIC remains one of the highest we have seen in retail. We remain committed to returning cash to our shareholders through our share repurchase and dividend programs, while simultaneously reinvesting in the business for the near and long-term. In fiscal 2018, we returned $2.4 billion to shareholders through these programs. Now, let me turn the call back to Ernie, and I'll recap our first quarter and full year fiscal 2019 guidance at the end of the call.
Ernie L. Herrman - The TJX Cos., Inc.: Thanks, Scott. First, I'll cover some 2017 highlights. Again, we are very pleased with our strong holiday season and fourth quarter results. We surpassed $10 billion in sales in the fourth quarter, a company record. We are very happy with the consistency of comp sales across all divisions around the world. Again, customer traffic was the primary driver of our comp sales increases at all of our four major divisions. We attribute this to our great brands, global mix of merchandise and excellent values, combined with our effective marketing. I was particularly pleased with the sequential improvement we saw at Marmaxx from the third quarter. In terms of the execution issues in certain categories that we discussed on our last earnings call, I'm pleased with the improvements we made during the quarter. As we continue to work on these areas, we've seen even further improvement as we started the year. Further, we become better all the time at transitioning our stores after the holidays, shipping merchandise selections frequently and keeping our stores fresh and compelling for customers every time they shop. Now to our full year highlights. Again, we exceeded $35 billion in annual sales. We also are proud to open our 4,000th store in 2017. Further, in a year when many other retailers closed stores, we opened more than 250 stores. Once again, we saw growth in new customers across all of our divisions. We were especially pleased with the increases we continued to see among millennial shoppers, which is promising for our future. We successfully launched Homesense, our second home concept in the U.S. Customer response to Homesense has been terrific. In Australia, our business delivered outstanding top-line performance and the openings of our first new TK Maxx stores in that country were very, very strong. In Europe, while the retail environment was challenging in 2017, we held up better than most other large retailers and are convinced that we gained additional market share. Next, to support our future growth plans around the world, we continue to make strategic investments in our stores, supply chain and systems to support our future growth. I also want to emphasize that we are always examining ways to operate more efficiently. In 2017, we worked diligently to identify areas of the business where we believe we can reduce costs over the long-term. We are currently finalizing our plans to make investments in these initiatives this year that we believe will benefit us next year and beyond. Before I move on, I'll spend a moment on Sierra Trading Post. The impairment charge we announced today reflects lower projected revenue growth rates for this business. Over the past couple of years, we have made significant changes to support the long-term health of the business. We shifted from heavy promotions to everyday value, relocated the business to our home office in Framingham to infuse the organization with high potential talent and grew the store base to leverage our extensive brick-and-mortar expertise. We are confident these are the right changes for the long-term. And we saw improvement in the top-line both online and in stores in the back half of 2017. We are convinced that Sierra Trading Post is now well-positioned for successful growth going forward. Now, I want to spend a moment on product availability and our confidence in always having access to great-quality branded merchandise. Availability has never been an issue for TJX in over our 41-year history. Throughout 2017, overall availability of inventory from top vendors was as good as it has ever been. Further, we have more best friends on order than we did at this time last year. These are some of the key reasons for our confidence. First, over four decades, we have established some of the best mutually-beneficial vendor relationships in retail. Our buyers are in constant contact with vendors in order to strengthen existing relationships, find more way to do business with them and open more vendor doors. We have significantly expanded our vendor universe and now source from over 20,000 vendors in more than 100 countries. Next, we offer vendors an excellent way to grow their business, with over 4,000 stores around the world and growing. Our global presence provides vendors access to new markets that they would not have had with a U.S.-only retailer. Further, we can offers brands one of the most efficient and discrete avenues for clearing inventory. We do not advertise brand names in our marketing. Our in-store inventory turns rapidly. And individual brands can blend into our racks with tens of thousands of items in each store. Finally, we are very flexible in our vendor dealings and buy merchandise in many different ways. Our buyers can purchase an extremely wide assortment of items, styles and sizes as well as quantities ranging from small to very large. Next, I'll recap our outlook for the continued successful growth of our four major divisions. First, at Marmaxx, we see plenty of opportunities to continue growing our customer base and capture additional market share. Giving us confidence is Marmaxx's continued comp sales and traffic increases in both strong and weak retail environments and despite the growth of e-commerce in general. Further, we are laser-focused on execution and offering the right mix of fashion and brands to our shoppers. To keep driving customer traffic, we have strategic marketing initiatives underway, including greater TV exposure. I am also excited about the long-term potential of our TJX Rewards loyalty program. As always, our merchandise and values are the most important factors. We offer an eclectic, ever-changing mix of compelling branded assortments at excellent values every day. Next, at HomeGoods and Homesense in the U.S, we see an enormous opportunity for growth. We believe we are significantly underpenetrated in the total U.S. home market and see plenty of white space across the country for both chains. Today, we are introducing a long-term store target for Homesense in the U.S. of 400 stores. We also see excellent long-term potential in the home fashion space across our other geographies. At TJX Canada, we are extremely proud to have built this division into the largest off-price apparel and home fashions retailer in Canada, by far. Going forward, we see additional opportunities for expansion into rural communities and locating stores closer to one another. We expect to exceed our most recent long-term target for store growth of 500 stores soon. Today, we are increasing our estimate for this division to grow to 600 stores over the long term. We are confident that our excellent merchandise and values will continue to resonate with Canadian shoppers. At TJX International, we are encouraged by the improvement we see in our European business and consumer environment in mainland Europe. We remain the only major off-price retailer in Europe and believe we are well-positioned to achieve our long-term growth plans. In Australia, shoppers are loving TK Maxx and we plan to bring TK Maxx to even more consumers in Australia this year. Long-term, we see the potential to develop TK Maxx in Australia similar to the way we grew TJX Canada. TJX International added a very exciting assortment of new brands last year and continues to offer consumers great values. Now to e-commerce, while it represents just a small piece of our overall sales, we see it as an important complement to our brick-and-mortar business. Our strategy is to differentiate our online merchandise mix to drive incremental sales, and that is what we have been seeing. It also allows us to work with vendors in more ways, further strengthening our relationships. Lastly, our customers love the convenience of making returns in-store. We also love that this prompts another shopping visit, and an additional way for online customers to discover our great brands and values. Underscoring our confidence in our growth are the key advantages that we believe differentiate us. We have built the global infrastructure and supply chain to specifically support our highly-integrated global business model. Our management teams have decades of off-price operating experience in the U.S. and internationally, which allows us to capitalize on our global presence. We have a world-class buying organization of more than 1,000 associates. Further, in an environment where e-commerce, in general, is growing, we are convinced that our amazing prices and exciting and an engaging in-store experience is a tremendous draw for shoppers. We offer consumers the ability to see, touch and feel the merchandise and in the case of apparel, try it on and then take it home that same day. With us, they can shop for a wide variety of brands and thousands of items under one roof in an easy-to-shop simple store layout and be inspired. Further, we have been building customers' trust for four decades. Lastly, we operate one of the most flexible retail models in the world. This allows us to target a wide variety of shoppers across different geographies and demographics and react rapidly to changing market trends. We believe all these elements make TJX's business extremely difficult to replicate. Now, before I wrap up, I want to take a moment to discuss tax reform and how we plan to utilize the cash benefit related to the tax changes. We are pleased to be making incremental investments in our associates, our communities and shareholder distributions. At every division worldwide, we are giving a one-time discretionary bonus to our eligible non-bonus plan associates. We are also making an incremental contribution to our defined contribution retirement plans around the world. Further, in the U.S., we are rolling out paid parental leave and enhancing vacation time for certain associates. Next, we plan to meaningfully increase our charitable giving through our contributions made to our foundations this year. In addition, we are planning a significant increase in our shareholder distributions in 2018, both through our dividend and share buyback programs. Lastly, we will continue to reinvest in the business, including store growth, technology, training our associates, and upgrades to the shopping experience for customers. The tax reform benefit will allow us to move forward some of the spending on investments we planned for our business anyway. We are pleased to be in a position of doing all of this while continuing to deliver great value to our customers. In closing, we feel great about our momentum and solid start to the year. We remain laser-focused on our major growth initiatives to drive customer traffic and comp sales and expand our store base globally, in order to gain even greater market share. In 2018, we are confident that we will achieve our plans for comp sales growth and earnings per share. As always, our entire management team will strive to surpass our goals. We are excited about the future of TJX and look forward to continuing our successful growth, both in the U.S. and internationally. Now, I'll turn the call over to Scott to go through our guidance, and then we'll open it up for questions.
Scott Goldenberg - The TJX Cos., Inc.: Thanks, Ernie. Now to fiscal 2019 guidance, beginning with the full year, for modeling purposes, I'll remind you that fiscal 2019 is a 52-week year compared to fiscal 2018, which was a 53-week year. On a GAAP basis, we expect fiscal 2019 earnings per share to be in the range of $4.73 to $4.83 versus the prior year's $4.04. Excluding an expected benefit of $0.73 to $0.75 from items related to tax reform, we're planning adjusted earnings per share to be in the range of $4 to $4.08. This would be up 4% to 6% versus the adjusted $3.85 in fiscal 2018. Similar to recent years, there a couple of factors impacting our expected earnings per share growth in fiscal 2019. First, we anticipate that wage increases will have a negative impact to fiscal 2019 EPS growth of about 2%, similar to last year. We continue to expect that wage increases will have an incremental negative impact beyond fiscal 2019. As always, we plan to continue to invest strategically ahead of our U.S. and international growth plans. In fiscal 2019, this includes investing in our supply chain, technology and stores to support our global store growth. As to FX, at current rates, we expect the net impact of foreign currency to be about a 1% benefit to fiscal 2019 EPS growth. We're planning this benefit to be entirely offset by a 1% negative impact due to the change in accounting rules for share-based compensation. This EPS guidance assumes consolidated sales in the $37.6 billion to $37.8 billion range, a 5% increase over the 53-week prior year. We're assuming a 1% to 2% comp increase on a consolidated basis, similar to our plans for prior years. We expect pre-tax profit margin to be in the range of 10.6% to 10.8%, down 40 to 60 basis points versus the adjusted 11.2% in fiscal 2018. We're planning gross profit margin to be in the range of 28.5% to 28.7%, compared with the adjusted 28.8% last year. Our plans also assume an increase in merchandise margin. We're expecting SG&A as a percentage of sales in the range of 17.8% to 17.9% versus the adjusted 17.5% last year. For modeling purposes, we're currently anticipating a tax rate of 25.9%, net interest expense of about $26 million and a weighted average share count of approximately 624 million. Now, to our full year guidance by division, at Marmaxx, we are planning a comp growth of 1% to 2% on sales of $22.6 billion to $22.7 billion and segment profit margin in the range of 13.0% to 13.2%. At HomeGoods, we expect comps to increase 2% to 3% on sales of $5.7 billion and segment profit margin to be in the range of 12.0% to 12.2%. For TJX Canada, we are planning a comp increase of 2% to 3% on sales of $3.9 billion to $4 billion and adjusted segment profit margin, excluding foreign currency, to be in the range of 14.6% to 14.8%. At TJX International, we're expecting comp growth of 1% to 2% on sales of $5.4 billion and adjusted segment profit margin, excluding foreign currency, to be in the range of 5.1% to 5.3%. Moving on to Q1 guidance, we expect earnings per share to be in the range of $1 to $1.02 versus the prior year's $0.82 per share. Excluding an estimated benefit of $0.15 to $0.16 from items related to tax reform, adjusted earnings per share would be in the range of $0.85 to $0.87. This would be a 4% to 6% growth, similar to the full year. We anticipate wage increases to negatively impact Q1 EPS by 2%, which is also the same as the full year. We're modeling first quarter consolidated sales in the range of $8.5 billion to $8.6 billion. This guidance assumes a 2% benefit to reported revenue due to translational FX. For comp store sales, we are assuming growth in the 1% to 2% range, on both a consolidated basis and at Marmaxx. First quarter pre-tax profit margin is planned in the 10.0% to 10.2% range, versus 10.7% the prior year. We're anticipating first quarter gross profit margin to be in the range of 28.5% to 28.6%, versus 29.0% last year. We're expecting SG&A as a percent of sales to be in the range of 18.3% to 18.4% range versus 18.1% last year. For modeling purposes, we're currently anticipating a tax rate of 25.7%, net interest expense of about $5 million and a weighted average share count of approximately 634 million. It's important to remember that our guidance for the first quarter and full year assumes that currency exchange rates will remain unchanged from the levels at the beginning of the first quarter. Now, to our store growth plans for fiscal 2019, we plan to add 238 net new stores, which would bring our year-end total to 4,308 stores. This represents store growth of approximately 6% and, similar to last year, reflects our plans to close only a few stores. Beginning in the U.S, our plans call for us to open about 65 stores at Marmaxx. At HomeGoods, we expect to open approximately 100 stores, including 15 Homesense stores. We also plan to open an additional eight Sierra Trading Post stores and we continue to test what works best for this concept. In Canada, we plan to add about 30 new stores. And at TJX International, we plan to open 30 stores in Europe and five stores in Australia. I'll wrap up with our cash distributions to shareholders. First, we are planning to repatriate over $1 billion of our Canadian cash as a result of tax reform. Further, we're expecting a significant benefit from a lower federal tax rate in the U.S. Therefore, for fiscal 2019, we are planning a larger dividend increase and a more significant buyback program. As we outlined in today's press release, we expect that our board of directors will increase our quarterly dividend by 25%, on top of the 20% increase last year. This would mark our 22nd straight year of dividend increases. In fiscal 2019, we also plan to buy back $2.5 billion to $3.0 billion of TJX stock. Even with our significant shareholder distributions, we still plan to end fiscal 2019 with approximately $2.2 billion in cash and short-term investments, which underscores our financial flexibility. Now, we're happy to take your questions. To keep the call on schedule, we're going to ask that you please limit your questions to one per person. Thanks, and we will now open it up for questions.
Operator: Thank you. We will now begin the question-and-answer session And our first question is from Omar Saad. Your line is open.
Omar Saad - Evercore Group LLC: Thanks for taking my question. It's great to see you guys rebounded the way you have in the holiday quarter. I wanted to ask my one question on the interplay between inventory and comp. Obviously, the comp trends really rebounded, but maybe you could help us understand how you're feeling about inventory levels, especially given the fact that it seems like gross margins came in a little bit lighter than expectations, even with the extra week kind of helping spread out the occupancy expense. Maybe you could help us understand where you are in inventory and gross margin perspective and the relation to sales. Thanks.
Scott Goldenberg - The TJX Cos., Inc.: It's a multi-faceted question. So let me first just talk a bit about the merchandise margin. I assume, Omar, you're referring to the fourth quarter?
Omar Saad - Evercore Group LLC: Yeah.
Scott Goldenberg - The TJX Cos., Inc.: On the gross profit.
Omar Saad - Evercore Group LLC: Yeah.
Scott Goldenberg - The TJX Cos., Inc.: Okay. So the fourth quarter, try not to be too long-winded on this one, but the merchandise margin was down in the fourth quarter and it was down primarily due to freight and markdowns, which were where HomeGoods, that we had some capacity constraints due to higher freight costs. And these constraints were unanticipated in the quarter and resulted in a larger impact on HomeGoods than our other divisions due to the size and nature of the product we carry at HomeGoods. This lack of capacity that we had in the freight arena, which resulted in some delays at the ports, causing our product to arrive at the stores a bit later than we had anticipated. And at HomeGoods, where we deliver the product on a just-in-time basis, probably more than at any other division, this delay impacted sales and required additional markdowns, especially in some of our gift-giving categories. At this point, we think the markdowns are largely behind us. They spilled a little over into the first quarter. But that's contemplated in our plans at this point in time. So we had some freight costs as well at Marmaxx. So, yeah, I think the key here would be that this was – and maybe Ernie can comment, that really not due to any executional issues. And before I just turn it over, I would say that we felt good – we're planning significant increases in our merchandise margin next year. And on a quarterly basis, it's the first time our merchandise margin was down in the last eight quarters. And, again, if I go back to 2003, we've had 15 of the last 16 years where our merchandise margin has been up and the only year it was down was fiscal 2012, I believe, and it was 8 basis points. And I'll let Ernie talk in terms of the mix and everything.
Ernie L. Herrman - The TJX Cos., Inc.: Yeah. Omar, exactly, as Scott said, really got hit with the markdowns. And by the way, probably a little bit of a sales impact from these later deliveries, which were not really due to merchant execution. It was really more of the logistics-oriented situation with freight and trucking and movement of freight. I guess, looking forward, here's the good news, is we love the position. We're starting to get the flow back and the timeliness back to where we like it. And HomeGoods is in great liquidity position and open-to-buy position as we flow into the first quarter here. As Scott said, we did get hit with some as we began the first quarter with some markdowns still impacting us from some of those late deliveries, unfortunately. But for the most part, I'd say it's largely past us. So we're feeling good about going forward.
Omar Saad - Evercore Group LLC: Thank you.
Operator: Our next question is from Lorraine Hutchinson. Your line is open.
Lorraine Corrine Hutchinson - Bank of America Merrll Lynch: Thank you. Scott, as you look at the cost structure, understanding that some of your competitors have raised their minimum wages, is this something that you're contemplating in the guidance, some incremental pressure, maybe on top of the minimum wage increase in Canada and some of the other states? And then also, as you look at your cost structure longer-term, are there areas of opportunity to reduce that leverage point, if you need to offset these higher costs?
Scott Goldenberg - The TJX Cos., Inc.: So talk a bit about just the facts. So a couple months ago, we would have thought our wage increases were going to still increase, but we'd have less deleverage on us. And we had called out about a 1% decrease or about 10 basis points. Now it's still a 2% decrease, as I just talked about earlier in the prepared remarks. Again, the big change from a couple months ago was Canada has the large increases in Ontario and those increases were also added to, because we had just recently announcements that British Columbia is also increasing their wages. We have all the wage increases built in, in the United States and in Europe that we are aware of, in terms of pending or likely increases. In terms of the cost aspect of it, I would say in terms of the deleverage point, we are working on cost initiatives, I wouldn't say to lower our leverage point, but at least try to keep it where it is. But, again, that's a little hard to answer your question, since we don't know what the wage increases are going to be at this point.
Ernie L. Herrman - The TJX Cos., Inc.: Yeah, and, Lorraine, I would also jump in a few other pieces of color on this. We get constant feedback from our field, in terms of the retention and turnover rates out there. And we've been feeling like we're in a very good position of recent and we've touched base pretty frequently on that. You have a bunch of dynamic going on. We keep an eye on it, by the way. We will consistently monitor this, as it goes forward. We also have about a quarter of our stores where we are paying $11 already. So we did not want to or feel like, based on our lack of challenge hiring quality people, we did not want to overreact to what's going on out there, probably going to take it more market-by-market. And so again, we're feeling pretty comfortable about the position we're in. But we will monitor as we move forward.
Operator: Our next question is from Simeon Siegel. Your line is open.
Simeon Avram Siegel - Instinet LLC: Thanks, good morning, and congrats on the strong end to the year. Ernie, to your point about the vendor strengths, and I guess the supply breadth you had mentioned, has the concentration of your top vendors this year changed at all versus the prior years? And then, maybe, Scott, any view on just the long-term EBIT margin profile for Marmaxx and HomeGoods? Thanks.
Ernie L. Herrman - The TJX Cos., Inc.: Yeah, Simeon. No, effectively the concentration on our top vendors, and we looked at this in-depth every quarter, is effectively very similar to last year, nothing materially different. We have shifts. So some vendors one year, we will do more. You could have a vendor that was in the top, that was, say, our 20th biggest vendor, and he could move down to 40th, but somebody else then moves up to 20. We could have shifts within it, number eight goes to number 12, number 12 the year before becomes number six. But I would say the bulk of the big brands that were the big brands last year, that a lot of the big brands of the same big brands. We have the fortunate ability with all the availability in the market we've had the ability to broaden our brands. And, as you know, when we give you those dollar bonds, it's not just about comp sales. Of $1 billion to $2 billion a year, we're doing a lot of that is giving us additional vendors; may not be in the top 20, but it's allowing us more doors open that we can go to in certain categories throughout the year. So we love those dynamics, actually.
Simeon Avram Siegel - Instinet LLC: Okay, thanks. And then anything, just the right way to think about the way you're viewing the EBIT margin profiles for Marmaxx and HomeGoods, longer-term?
Scott Goldenberg - The TJX Cos., Inc.: No, I would say we are not, at this point, going to give guidance to past the fiscal 2019 at this point. So I would say, at this point, similar to this year.
Simeon Avram Siegel - Instinet LLC: Great, thanks. Best of luck for the year.
Ernie L. Herrman - The TJX Cos., Inc.: Thank you.
Operator: Our next question is from Paul Lejuez. Your line is open.
Paul Lejuez - Citigroup Global Markets, Inc.: Hey, thanks, guys. Just a little bit more color, if you can give it, on merch margin, maybe talk about merch margin by segment in the fourth quarter. Also curious as you think about the merch margin, your guidance for merch margin to be up. And F2018, are there any particular segments where you're looking for more strength versus others, if you can just touch on the merch margin issue? Thanks.
Scott Goldenberg - The TJX Cos., Inc.: Again, I think it's what I said before. Going back to HomeGoods, again, the biggest miss in the fourth quarter versus LY and plan, which was really miss from plan, was with HomeGoods, on the merch margin. Again, it was the freight and related markdowns, so that was by far the related mix. We also did have some of those, again, same related costs in terms of the freight at Marmaxx and really not much to speak of on anything with Canada, International, in terms of from a TY, LY, again. And then next year, I think, we feel good about, as we said, across the board, merchandise margin at all the divisions.
Paul Lejuez - Citigroup Global Markets, Inc.: Got it.
Ernie L. Herrman - The TJX Cos., Inc.: Yes. Paul, we like the sit well, the dynamics of what's going on in the market, in terms of a lot of really strong brands and this includes Europe and Canada as well as the U.S., have had as good as an availability level as we've ever seen and our liquidity position is healthy. So we're feeling the opportunity on our merchandise margin should be pretty good this year to continue on the same path of doing this pretty good job. I don't want to overcommit to what there is, but there is certainly a healthy availability that should help us achieve our merchandise margin plans in FY 2019.
Paul Lejuez - Citigroup Global Markets, Inc.: Got you. Are you seeing any pickup in product availability from online retailers, like online-only retailers? Has that channel become a significant source of merchandise and supply for you guys? And how do the merch margins tend to be in that channel versus your historical vendor base?
Ernie L. Herrman - The TJX Cos., Inc.: Yes, that, actually, it's a great question. It has created more surplus out there. It's another avenue. So even though brick-and-mortar department store volume has come down and maybe that has subsided, the world of e-commerce has created more availability. And you're spot on. And the answer would be yes. Yeah.
Paul Lejuez - Citigroup Global Markets, Inc.: And how about the merch margin in that segment?
Ernie L. Herrman - The TJX Cos., Inc.: Very competitive. Yeah.
Paul Lejuez - Citigroup Global Markets, Inc.: Great, thanks, guys.
Ernie L. Herrman - The TJX Cos., Inc.: It's fresh goods. The goods are typically boxed and fresh.
Paul Lejuez - Citigroup Global Markets, Inc.: Great. Thank you and good luck.
Ernie L. Herrman - The TJX Cos., Inc.: Thank you.
Operator: Our next question is from Kimberly Greenberger. Your line is open.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: Great. Thank you so much. Good morning. I wanted to just ask about the HomeGoods margin. I understand there were some things that happened in the fourth quarter that caused particular pressure, but looking back to the second quarter, I think the operating margin at HomeGoods was down about 80 basis points. In the third quarter, it was down about 60 basis points. So I'm wondering if there is just a sort of a natural settling of the HomeGoods margin at a slightly lower level, or if perhaps maybe there's just been an ongoing creep higher in freight and distribution costs that are weighing on the division. I'm just trying to understand when we might be able to see that level out and what your future expectation is for that division's margin.
Scott Goldenberg - The TJX Cos., Inc.: So you actually nailed it on a few of the items. Freight, it's built into our plans, but I would say the freight cost for this year on the go-forward year, it's certainly a factor in next year's deleverage. Not that much different on the whole year, though, for fiscal 2019 as it is for 2018, but it is a continued deleverage point. The other points really relate to the investments, as we talked about, in the almost 200 stores that we've added between fiscal 2019 and fiscal 2018. And the need to pull forward and bring supply chain in future DCs cost. That, in addition to just the pressure that you've heard us talk about, whether it's at Marmaxx and some of the other divisions of the sheer number of openings of new stores and with Homesense, had very productive return on investments, but at a lower return, will naturally add to the overall deleverage. So I would say the deleverage points that we have for new stores and supply chain, is similar to last year. And we're planning it within 10 basis points of how we planned fiscal 2018, we're planning fiscal 2019. So, yes, I think that's the case. And I think the deleverage, we're not giving guidance, but you will see continued pressure when you go past next year.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: Okay.
Scott Goldenberg - The TJX Cos., Inc.: But again, we feel great about the growth, the cash flow, the returns. It's a business that will have deleverage, but will still grow the operating income significantly for that division. I don't know, Ernie, if you'd add any, in terms of, again?
Ernie L. Herrman - The TJX Cos., Inc.: I think you covered it.
Scott Goldenberg - The TJX Cos., Inc.: Yeah.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: Scott, could I just ask a clarification on the freight cost? It sounded like, in the fourth quarter, there were some specific capacity constraints. I'm wondering, do you contract out an estimated capacity or is it the nature of off-price that the capacity is perhaps unknowable and so you avail yourself of the spot market a little bit more? We're just wondering how you manage your aggregate freight costs between contracting versus the spot rates?
Scott Goldenberg - The TJX Cos., Inc.: I'd have to get back to you on the detail. I would say that most of the freight costs that we saw were pretty much unanticipated. So it's a combination of a lot of things, I think, are transpiring in the world of carrier consolidation, a bit on driver shortages that were...
Ernie L. Herrman - The TJX Cos., Inc.: Driver shortages were a big part. Yeah.
Scott Goldenberg - The TJX Cos., Inc.: A little more, I think, pronounced in the fourth quarter, additional regulations that have been going into a place. So I think there's a number of factors that went into it. But I'm not sure of the specifics, certainly can get back to you, back after on more detail on that.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: Awesome. Thanks, Scott.
Operator: Our next question is from John Morris. Your line is open.
John Dygert Morris - BMO Capital Markets (United States): Thanks. Hey, my congratulations on a really nice holiday season a well.
Ernie L. Herrman - The TJX Cos., Inc.: Thank you, John.
John Dygert Morris - BMO Capital Markets (United States): Yeah, I think, Scott, Ernie, I guess, for either one of you, it's a little bit of a philosophical question. Thinking behind your 1% to 2% comp forecast for next year, on the one hand we've got, I think we'd all agree, a better macro consumer out there. And you sort of acknowledged as much by building in some of the higher wage rates for next year as well, so some discretionary spending for them as well as the bonuses and whatnot. And yet, I'm wondering why, I guess, the delta or the philosophy behind only guiding to like a 1% to 2% comp for next year. So maybe some more thought process there, be helpful. Thanks.
Ernie L. Herrman - The TJX Cos., Inc.: So, John, this is really a classic case. First of all, that is, as you know, a very normal guidance range for us. And our objective is to always exceed our plans. So we like to plan conservatively. It does a lot of good things for the business. It controls inventories, expenses, which is really a huge deal. Expenses across all the operating divisions, whether it's store payroll, the distribution processing costs, costs within other functional areas, support areas. And so when we budget off the lower comp – our objective, by the way, clearly, is to surpass those goals. It's just a conservative way of planning. Scott, do you want to...?
Scott Goldenberg - The TJX Cos., Inc.: No, I think it's really the two points Ernie made. It's the discipline in the expenses and I think on the inventory management and it allows for better, hopefully, flow-through on the upside and mitigates on the markdowns, on the downside.
Ernie L. Herrman - The TJX Cos., Inc.: Your question, though, is certainly – your challenge is certainly what our mindset is.
John Dygert Morris - BMO Capital Markets (United States): Yeah. No, that's helpful, maybe if you...
Ernie L. Herrman - The TJX Cos., Inc.: I think if you're getting at, yeah, we would not want to only achieve a 1% to a 2%.
John Dygert Morris - BMO Capital Markets (United States): Yeah, and I'm wondering with what you mentioned in the prepared remarks about the initiatives that you all work so hard on to keep driving that traffic, are there any you want to highlight for us that might be new and different as your forward for next year, on those consumer-driving initiatives? That would be...
Ernie L. Herrman - The TJX Cos., Inc.: I'll tell you one thing. We can't give you specifics on it, but I am very happy with the marketing campaigns that we have coming up. Actually, a lot of it, I can't tell you about, because they don't come out until the second week in March. But I am very happy with the creative on all divisions, on the marketing front and also we've done some adjustments on the working media in terms of what vehicles we are pushing out there with. So, of course, digital is a key component. But we are utilizing TV, which, again, I can't give you specifics, in a different way. But as far as that traffic, that's one of the things I am most excited about, over the next six months.
John Dygert Morris - BMO Capital Markets (United States): Sounds great. Super helpful. Look forward to it. Thank you, guys.
Ernie L. Herrman - The TJX Cos., Inc.: Thank you.
Operator: Our next question is from Dana Telsey. Your line is open.
Dana Lauren Telsey - Telsey Advisory Group LLC: Good morning and congratulations on the improvement. As you think about the comp, what comp do you need to leverage expenses going forward? Is there any change? And you mentioned marketing expense increase, which divisions? Is it TV? What do you plan to do? And how do you think it drive sales? And just lastly, with the changes for Sierra Trading Post, what opportunity do you see for the business as you make these changes? Thank you.
Scott Goldenberg - The TJX Cos., Inc.: So I think, I'll just try to answer a few of those questions. On advertising, I think, maybe a little is, first, advertising dollars are slightly more, but there is a leverage on an A to S ratio. In terms of the leverage point, not trying to not answer the question, but when you have too many factors with wage and FX and other things to tell you the leverage point, 3% was always what we had stated when merchandise margin is roughly flat and your expenses were not growing. The leverage point would generally always be 3%. Certainly, when you plan out a quarter at a 2% and we have a 3%, we're certainly going to leverage off of that. And at usually 1% comp would be worth approximately 20 basis points in leverage when you're comparing it to a plan, whether it's for the year or for the quarter. And I'll just turn it back to Ernie in terms of...
Ernie L. Herrman - The TJX Cos., Inc.: STP.
Scott Goldenberg - The TJX Cos., Inc.: STP and things that we're doing.
Ernie L. Herrman - The TJX Cos., Inc.: So, Dana, on Sierra Trading Post, we're really excited about a handful of things here. It was a tale of two cities, when you look at the first half performance and the back half. So in the second half of the year, our top line was performing really well versus in the first half, where it was disappointing. The organization, we did some pretty major moves around, as well as at the end of last year, put a planning organization in that was really going to take care of a consistent flow to the stores and the website in a very balanced manner, which we have not had before. So that really took strong effect by the time we got to about August, September and we went on to have a very healthy sales top-line growth in the fourth quarter. So what we're feeling good about is we even go into this year is our flow has been much better to the stores and to the website. We have a merchant team that's now in place. I think I had talked to all of you before about doing a reorganization restructuring there, which we did that about a year ago, and we're finally getting the payback on that. So we're looking at a more experienced merchant group, which should yield us – between that and the flow of the merchandise, should lead to improving merchandise margins as well. So, pretty much all of those things are headed in the right direction. We had to go through all that pain of going for everyday value from early on. But, fortunately, we're, for the most part past that and like what we see for the year coming up.
Dana Lauren Telsey - Telsey Advisory Group LLC: Thank you.
Operator: Our next question is from Oliver Chen. Your line is open.
Oliver Chen - Cowen & Co. LLC: Hi, Ernie and Scott. Great quarter and congratulations. So regarding traffic and average unit retail, and as you think forward to your apparel versus non-apparel mix as well as the related supply chain investments, where do you think you are with respect to where you want the business to be with the mix or a framework for us thinking about that, because you've done a very good job being proactive about being in categories that aren't necessary apparel and strategically using private label, so would love your thoughts for the year ahead.
Scott Goldenberg - The TJX Cos., Inc.: I'll just give a little color on the number there. I think one of the things that we're certainly pleased with and we mentioned it briefly on the average retail moderating, particularly at Marmaxx, in the fourth quarter from the third quarter. We are planning, as we said, the average retail, still moderating as we move through the first half of this year and to be flattish for the back half of the year. So I think that's – we feel good about that and some of that is, I think Ernie will allude to it, is the mix and the branding and all that of the merchandise. So that's, I think, very important. And certainly, if we can achieve that, that will continue to put a little less pressure on some of our expense structure.
Ernie L. Herrman - The TJX Cos., Inc.: Yeah. Thanks, Scott. Oliver, so, I guess, it's a good question. It's pretty broad and what I would get at some of the key pieces, I think what you're getting at is how we're approaching the apparel and the home business. Is it different? Or this is where the flexibility comes into play. One thing that you could see is that in Marmaxx, we had those few categories where we had some execution issues in the third quarter. And you could see that, even though we have work to do, we're very happy with the progress that we've had on those few categories. Or, obviously, Marmaxx would not have had a 3% comp in the fourth quarter. And also, we've seen some further improvement as we've been through the first few weeks of this year. I would tell you, because of the importance of apparel still in a Marmaxx or a TK Maxx or in a Winners we have some initiatives and strong feelings about certain apparel categories throughout the year that we are going to try to aggressively drive this year. That applies to those three divisions, specifically. Even though they have home businesses, we are specifically going to be going after apparel in those full-line stores. Having said that, strategically, when you look at our total TJX business, I love the way the complement of home is such a core steady, non-weather-related market share opportunity, as I said before, because we believe we have the most unpredictable impulse-driven home business in the country, at the best value that nobody competes with us on. So that's why you'll continue to see us open more home stores and drive the home business in the full-line stores as well. So I guess, this year, our mission, and your question was perfect timing, because in the full-line apparel stores, which is TJ Maxx, Marshalls, Winners, TK, we're going to try to aggressively go after certain key apparel categories, while we still go after home. I hope that answers the question.
Operator: The final question of the day comes from Matthew Boss. Your line is open.
Matthew Robert Boss - JPMorgan Securities LLC: Thanks. Congrats on the improvement.
Ernie L. Herrman - The TJX Cos., Inc.: Thank you.
Matthew Robert Boss - JPMorgan Securities LLC: Ernie, I guess, can you speak to, maybe or at least give us some high-level thoughts, as to the monthly progression, what you saw from same-store sales in the fourth quarter?
Ernie L. Herrman - The TJX Cos., Inc.: Yes.
Matthew Robert Boss - JPMorgan Securities LLC: And I know you don't normally provide it, but I ask, just given the improved execution, some of the issues that we saw in the third quarter, did things improve as the fourth quarter progressed? Sounds like you're speaking to continued momentum in February, maybe just touch on any drivers. And then finally, on the international front, nice improvement there as well, any trends you're seeing by regions or just initiatives that you're driving to capture additional share outside of the U.S.?
Ernie L. Herrman - The TJX Cos., Inc.: So, Matt, we can't give specifics. As you know, we can't give you numbers by month. What I can directionally say is that we did have improvement as the quarter went on. And by the way, that applies to Europe, specifically. Our business continued to get healthier as we got toward Christmas and post-Christmas. And it varied a little bit by division, so I can't broad-brush it like that for you. But, obviously, in total TJX, when we have a 4% comp, this is why I can only get so specific, but we clearly did not have any month that wasn't a good month or we wouldn't have ended up there. But it did seem to strengthen as we got closer to Christmas. I would leave it at that. Scott, do you have any...?
Scott Goldenberg - The TJX Cos., Inc.: Yeah, I think and, as Ernie said, with Europe, it certainly got better later.
Ernie L. Herrman - The TJX Cos., Inc.: Later.
Scott Goldenberg - The TJX Cos., Inc.: And I would say, in terms of Europe, there is still a bit more pressure, I think, too, as the hanging on effects of Brexit in terms of UK versus mainland Europe, so we have been stronger in mainland Europe than we have in the UK. And probably the only nuance there is also we run better in London versus outside of London. But those are the things that we've, I think, had mentioned before, but still, there is still some pressures in Europe on that.
Ernie L. Herrman - The TJX Cos., Inc.: And, Matt, the thing that, again, we couldn't get everything into the script. But one of the highs of what Scott, myself and the team here was most excited about was the consistency across all of the divisions and all the geographies. We didn't have any one bottleneck in the business, so to speak, that would drag anything down, so that we felt good about. And so when you ask about the timing, even the timing, as much as it helped, it was pretty consistent for the quarter, which also was a sign of healthiness.
Scott Goldenberg - The TJX Cos., Inc.: Yeah, and I think to reiterate, just to make sure on the geographies and like at Marmaxx, for example, we were pretty consistent within the U.S., so we always like when we don't see much a differentiation between the low and the high. So that's what we saw in the fourth quarter, which I think bodes well.
Ernie L. Herrman - The TJX Cos., Inc.: Okay. Thank you all for joining us on the call today, and we look forward to updating you on our first quarter earnings call in May. Take care.
Operator: Ladies and gentlemen, that concludes your conference call for today. You may all disconnect. Thank you for participating.